Operator: Good morning, ladies and gentlemen. And welcome to the Hamilton Lane Fiscal Third Quarter 2026 Earnings Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question and answer session. If at any time during this call you require immediate assistance, please press 0 for the operator. This call is being recorded on Tuesday, February 3, 2026. I would now like to turn the conference over to John Oh, Head of Shareholder Relations. Please go ahead.
John Oh: Thank you, Natasha. Good morning, and welcome to the Hamilton Lane Q3 Fiscal 2026 Earnings Call. Today, I will be joined by Erik Hirsch, Co-Chief Executive Officer, and Jeff Armbrister, Chief Financial Officer. Earlier this morning, we issued a press release and a slide presentation, which are available on our website. Before we discuss the quarter's results, we want to remind you that we will be making forward-looking statements. Forward-looking statements discuss our current expectations and projections, relating to our financial position, results of operations, plans, objectives, future performance, and business. These forward-looking statements do not guarantee future events or performance and are subject to risks and uncertainties that may cause our actual results to differ materially from those projected. For a discussion of these risks, please review the cautionary statements and risk factors included in the Hamilton Lane fiscal 2025 10-Ks and subsequent reports we file with the SEC. These forward-looking statements are made only as of today and except as required, we undertake no obligation to update or revise any of them. We will also be referring to non-GAAP measures that we view as important in assessing the performance of our business. Reconciliation of those non-GAAP measures to GAAP can be found in the earnings presentation materials made available on the Shareholders section of the Hamilton Lane website. Our full financial statements will be made available when our 10-Q is filed. Please note that nothing on this call represents an offer to sell or a solicitation of an offer to purchase interest in any of Hamilton Lane's products. Let's begin with the highlights and I'll start with our total asset. At quarter end, total asset footprint stood at over $1 trillion and represents a 6% increase to our footprint year over year. AUM stood at $146 billion and grew $11 billion or 8% compared to the prior year period. The growth came from both our specialized funds and our customized separate accounts. AUA came in at $871 billion and grew $50 billion or 6% relative to the prior year period. This stemmed primarily from market value growth of the portfolio and the addition of a variety of technology solutions and back-office mandates. Total management and advisory fees for the year-to-date period were up 11% year over year. Total fee-related revenue for the period, which is the sum of management fees and fee-related performance revenues, was $57 million and represents 31% growth year over year. Fee-related earnings were $254.6 million year to date, and represent 37% growth year over year. We generated fiscal year-to-date GAAP EPS of $4.35 based on $183 million of GAAP net income, and non-GAAP EPS of $4.41 based on $240.1 million of adjusted net income. We have also declared a dividend of $0.54 per share this quarter, which keeps us on track for the 10% increase over last fiscal year, equating to the targeted $2.16 per share for fiscal year 2026. With that, I will now turn the call over to Erik.
Erik Hirsch: Thank you, John, and good morning, everyone. As we look back on calendar 2025, Juan and I are very proud of all that has been accomplished. And we are enthusiastic about the significant opportunity that lies ahead. Our team successfully navigated changing markets and high client expectations. We delivered strong growth and outstanding results and we exited calendar year 2025 with real momentum. We have a larger, more global reach, a more diversified platform, expanded and deeper client relationships, and new product lines that are gaining traction and growing. While Juan and I have the privilege of witnessing what this team does every day, it is also rewarding to be recognized by those outside of Hamilton Lane. So I am honored to say that Hamilton Lane was once again recognized by pension and investments as one of the best places to work in money management. We have now earned this recognition for the fourteenth consecutive year and are one of only five companies that has been recognized every single year since the award's inception in 2012. Our people are our asset. And we have worked hard to create an environment that is collaborative and growth-oriented where we all focus on what matters. Doing the very best we can for our customers. Let me move now to a quick update on the strategic partnership with Guardian that I highlighted on our last call. I'm proud to announce that the partnership has officially closed, and we are already hard at work. As a reminder, Hamilton Lane will oversee nearly $5 billion of Guardian's existing private equity portfolio, and these assets will be reflected in our total asset footprint beginning next quarter. Also, we expect to receive additional annual commitments of approximately $500 million for at least ten years, enabling Guardian to access a broad range of private market opportunities across primary, secondary, and co-investment strategies through our platform. This also includes support for Hamilton Lane's global evergreen platform where at least $250 million of capital will be invested into our evergreen. In addition, the partnership also provides Guardian with HL and E equity warrants and other financial incentives driving alignment and opportunities for long-term value creation. The initial economic impacts of the partnership will be recognized in our fiscal 2026, and we will provide additional details on our next call. Our partnership with Guardian is a clear proof point of our ability to work alongside the world's most sophisticated institutional investors to design and execute comprehensive private market programs. In a very short period of time, we are already fully engaged. Capital has been allocated to our US secondaries and venture evergreen funds. Complemented by a sizable commitment to our latest closed-end direct equity fund and to the upcoming first close of our next secondary fund. Additionally, we have also successfully onboarded three of our US Evergreen offerings onto their Park Avenue securities platform and we look forward to working closely with their extensive adviser network to deliver evergreen solutions for their clients. We remain excited about this partnership and all the opportunities for mutual success that lie ahead. Let me now turn to an update on our capital raising and fee-earning AUM. Total fee-earning AUM stood at $79.1 billion and grew $8.1 billion or 11%, relative to the prior year period. Net quarter-over-quarter growth was $2.7 billion or 4%. Fee-earning AUM growth continues to be largely driven by our specialized fund platform with our semi-liquid Evergreen products leading our strong momentum. The combination of our net positive fundraising, product additions, and strong performance has driven the growth of total fund net value in our Evergreen offering. We have also executed well on our closed-end offerings as evidenced by recent closes and momentum for those funds in market or that have recently held final closes. I will provide more detail on that shortly. Before I move on, I want to reiterate that our blended fee rate continues to benefit from the shift in the mix of fee-earning AUM towards higher fee rate specialized funds most notably our Evergreen products. Today, our blended fee rate stands at 67 basis points with the mix of separate accounts to specialized fund fee-earning AUM at 52% and 48% respectively. This fee rate is 10 basis points or 18% higher than when we went public in 2017. Then our mix was 67% customized separate accounts and 33% specialized funds. We view this shift as a powerful component of our business model and an important driver supporting the trajectory of our management fees over time. Let's move now to specialized funds where fee-earning AUM ended fiscal Q3 at $38.1 billion having grown $6.9 billion over the last twelve months. This represents an increase of 22%. Quarter-over-quarter net growth was $2.4 billion or 7% with much of this driven by our evergreen platform with a strong combination of net new flows and positive net asset value appreciation. Additionally, we benefited from Evergreen non-fee-earning AUM that turned to fee-earning AUM in the quarter as I had detailed on our prior call. In addition to the growth numbers we are experiencing, we have in front of us, several recent closed-end fund launches, most notably our seventh secondary product, which we discussed on our last call, and more recently, our second venture access product. To put that in context, our sixth secondary fund raised $5.6 billion and extended our track record of raising larger funds in that franchise. We believe we are capable of successfully managing increasingly larger pools of capital in both of these spaces, and in neither space, are we anywhere close to the largest player? We have plenty of room to continue to grow. On the venture side, we're looking to build on the success of our inaugural venture access product, which closed in February 2025 with nearly $610 million of investor commitments. We currently expect to hold first closes for both the new secondary fund and the second venture access fund sometime in 2026. Now let's move to the rest of the product suite, and I'll start with our sixth equity opportunities fund. As a quick reminder, this fund focuses on direct equity investments alongside leading general partners and it offers two fee arrangements that either charge management fees on a committed capital basis and a 10% carry, or fees on a net invested basis with a 12.5% carry. Our prior direct equity fund offered the same arrangement and raised $2.1 billion. Now during the quarter, we held additional closes totaling nearly $300 million of LP commitments. Then in January, we held another close of approximately $500 million. So taken together, the fund now stands at over $2.3 billion. And at that size, we have surpassed the prior fund by nearly 15%, and we have solid visibility on additional capital in the pipeline that has yet to close. The management fee mix is currently about 35% on committed capital, and 65% on net invested. Jeff will provide additional detail on the retro fees associated with the capital that closed both in the quarter and post quarter end. We expect to hold a final close of this fund over the coming months. And we remain focused on finishing this fundraise on a strong note. Turning now to our second infrastructure fund. As a reminder, this strategy focuses on direct equity and secondaries across the infrastructure landscape and the fund earns management fees on a net invested basis. I am pleased to report that just yesterday, we announced the final close bringing total capital raised in and alongside the fund to nearly $2 billion. With over $1.5 billion coming into the fund and nearly $400 million alongside the fund and related vehicles. At this size, we have now more than tripled the capital raised in our inaugural infrastructure fund. This second vintage is off to a strong start with over 40% committed as of December 31. We view this outcome as evidence of our ability to launch and scale new strategies, and we remain confident in our ability to further grow this franchise. Let's now turn to our annual strategic opportunity fund, which is our closed-end direct credit strategy. As a reminder, this fund charges management fees on a net invested basis. On December 31, we held the final close for the ninth series, and raised a total of $527 million of investor commitments. This will be our final series of our strategic opportunities franchise. When we launched our strategic opportunities franchise more than a decade ago, private credit looked very different. Investors were looking for a blended approach between senior and junior credit and we built a product to match. Now over time, private credit has scaled and has become more segmented and investor preferences have followed. We're now reshaping how we position and construct this closed-end franchise so it's set up for the next leg of growth. And better align with how clients are allocating across senior, junior, and opportunistic credit. We are in the process of launching a variety of closed-end credit funds that are more segmented, and those will sit alongside our credit evergreen funds but they will now follow a more traditional fundraising cadence. Where we raise capital every few years. Importantly, the management fee dynamics will be unchanged. Fees will continue to be charged on a net invested basis, and will move into fee-earning AUM as capital is deployed. We launched our first credit vehicle ten years ago, and then we managed a sum total of $70 million in credit product AUM. Today, across closed-end and evergreen, we are managing nearly $4 billion in fee-earning AUM, reflecting a compounded growth rate of more than 45%. While we are proud of this success, we also recognize how modest this is in the context of the credit markets, and we are excited to continue scaling this business in a very significant way and believe we have a clear path to do just that. Let's now move to our Evergreen platform. Our Evergreen platform delivered another strong quarter. For the quarter ended December 31, 2025, we generated over $1.2 billion of net inflows across the suite driven by a combination of expanded product offerings, robust fundraising, and solid investment performance. At quarter end, total Evergreen AUM reached over $16 billion representing over 70% year-over-year growth. Within that total, our core multi-strategy private markets offering continues to anchor the platform. It ended 2025 at over $11.7 billion of AUM, and once again delivered sustained positive net inflows. Recurring flows from existing partners. We are making real progress broadening distribution for this flagship strategy in the US and internationally while also seeing healthy many of whom are now adding allocations to our newer evergreen strategies. Turning to credit. Despite recent headlines and volatility in certain parts of the private credit market, our international credit Evergreen Fund remains on extremely solid footing. It continued to generate positive net inflows in the quarter, with AUM surpassing the $2 billion mark at calendar year-end 2025. Performance remains strong with a since inception net annualized return of over 9.5% and positive monthly performance throughout all of calendar year 2025. December net inflows were the fourth highest month since its launch in 2022, and for calendar year 2025, we averaged over $90 million of monthly net inflows. In addition to that, we remain on track to introduce its US registered counterpart in the coming months. Finally, we are encouraged by the trajectory of our newer Evergreen offerings. Both our infrastructure Evergreen, which was launched in 2024, and our secondaries Evergreen, which was launched in early 2025, are both approaching the $1 billion AUM threshold respectively. That progress reinforces our conviction that the Evergreen platform can be and is increasingly becoming a multi-strategy, multi-asset growth engine for the firm over time. Let's wrap up here with customized separate accounts. At quarter end, customized separate account fee-earning AUM stood at $41.1 billion and grew $1.3 billion or 3% over the last twelve months. Net quarter-over-quarter growth was $280 million or 1% with the growth gross contributions stemming from a mix of new client wins, re-up activity from existing clients, and contributions for investment activity. This was offset by fee basis step-downs and returns of capital stemming from exit activity. We continue to carry substantial committed and contractual dry powder ready to deploy, supported by a strong pipeline of mandates that have been awarded, and are currently moving through the contracting stage. Across our platform, we have long-dated relationships with the majority of our separate account clients, and have experienced minimal churn over our history, underscoring the durability and depth of these partnerships. Because separate account programs are highly tailored rather than formulaic, the pace at which they move from sale to full deployment can vary. Introducing timing variability in which assets and revenues come online. In fact, in December alone, we closed on more than $2 billion of new SMA capital coming from a mix of existing client re-ups, new service lines with current clients, and new relationships to Hamilton Lane. Behind that, our pipeline of live opportunities to various stages of negotiation remains sizable and in the multibillion-dollar range. That said, we continue to see our clients adopting and desiring product solutions at a faster pace than SMAs. We believe that serves them and us well. Let me move now to the update on our latest addition to the Hamilton Lane Innovations portfolio where we utilize our balance sheet capital to invest in differentiated technology solutions that broaden access to the asset class, enhance the investor experience, and strengthen the overall infrastructure of the private market ecosystem. On January 6, we announced an investment in Pluto Financial Technologies, alongside Apollo, Motive Ventures, and Portage. Pluto operates at the intersection of two important trends for our industry. The continued expansion of private markets and the growing need for sophisticated technology-enabled infrastructure to support that growth. Pluto's platform is built specifically for private market investors and uses AI-driven technology to connect directly to underlying portfolios, providing access to credit without forcing the sale of positions or the need to work through multiple intermediaries. The objective is straightforward. Give investors a practical liquidity tool while allowing them to stay committed to their long-term private market allocations. As individual investors continue to allocate more capital to the private markets, and in turn become incrementally larger and larger parts of investor portfolios, the importance of liquidity has only increased. Historically, many individual investors and their advisers view limited liquidity as a barrier to meaningful allocation even when they were convinced of the return and diversification benefits. As structures, secondary solutions, and product design have evolved to offer more frequent liquidity windows, and better tools for managing flows, we are seeing that hesitancy begin to fade. We believe that continuing to improve the liquidity experience for individuals in a thoughtful, risk-aware way is one of the keys to deeper penetration of private markets in the wealth channel. Simply put, the more we can marry institutional quality exposure, a liquidity profile that works for individuals, the larger the opportunity set becomes. We believe that Pluto is helping to drive increased liquidity in our asset class and uniquely leveraging technology to make that happen. We are proud to join them on this important journey, and look forward to providing you with future updates. And with that, I'll pass the call to Jeff to cover the financials.
Jeff Armbrister: Thank you, Erik, and good morning, everyone. Year to date for fiscal 2026 management and advisory fees were up 11% from the prior year period. However, this includes the impact of nearly $21 million of retro fees from specialized funds. Namely the final close for our sixth secondary fund in the prior year period, versus $2 million in the current year-to-date period. Stemming primarily from our latest direct equity fund. Total fee-related revenue was up 31% largely driven by fee-related performance revenues recognized year-to-date fiscal 2026 versus a minimal amount during the same period in fiscal 2025. Year to date, specialized funds revenue increased by $35 million or 15% compared to the prior year period. Growth in specialized fund revenue was driven by continued growth in our Evergreen platform, which continues to be a key driver of specialized fund fee-earning AUM. Again, the year-over-year growth here was impacted by the retro fee element that I just alluded to. Moving on to customized separate accounts, revenue increased $4 million or 4% compared to the prior year period due to the addition of new accounts, re-ups from existing clients, and continued investment activity. Revenue from our reporting, monitoring, data, and analytics offerings increased by over $5 million or 24% compared to the prior year period as we continue to produce strong growth in our technology solutions offering. Lastly, the final component of our revenue is incentive fees, which totaled $136 million for the period. This amount includes fee-related performance revenues stemming primarily from the quarterly crystallization of performance fees from our US private assets Evergreen Fund with additional contributions coming from our more recently launched Evergreen Funds. Let's turn now to our unrealized carry balance. The balance is up 15% from the prior year period even while having recognized $77 million of incentive fees excluding fee-related performance revenues during the last twelve months. The unrealized carry balance now stands at approximately $1.5 billion. Moving to expenses, fiscal year-to-date total expenses increased $40 million or 14% compared with the prior year period. Total compensation and benefits increased $29 million or 15% due primarily to increases in operating performance headcount, and equity-based compensation. This was offset by lower incentive fee compensation due to a prior year period decrease in non-FRPR incentive fee revenue compared to the G&A increased by $11 million. We continue to see growth in revenue-related expenses, including the third-party commissions related to our US Evergreen product, being offered on wirehouses. We will continue to emphasize that while overall G&A expenses increased over time, the bulk of the increase stems from these revenue-related expenses. Which is a good thing and can be an indicator of growth to come. We continue to successfully offset this with cost savings and expense discipline in other parts of the business where we have discretion. Let's move now to FRE. And just a quick reminder, FRE will now include the fee-related performance revenues and exclude the impact of equity-based compensation in the calculation of FRE. With that, fiscal year-to-date FRE came in at $255 million was up 37% relative to the prior year period. FRE margin year-to-date came in at 50% compared to 48% for the prior year period. Both FRE and FRE margin benefited from strong fee-related performance revenues in the period. Before I wrap up and end with some balance sheet commentary, I wanted to reiterate and summarize the financial impacts from the Guardian partnership. And as Erik mentioned earlier, the initial financial impact will not be reflected until next quarter. We expect to earn management fees on capital invested into our Evergreen funds which will be reflected in specialized funds revenue as well as fees from a separate account that will resemble a typical institutional mandate in both portfolio construction and fee schedule. In both cases, there is also potential for performance fees aligned with the underlying strategies. The associated warrant package is expected to result in less than 1% dilution based on our fully diluted share count as of December 31, 2025, and be based on a vesting schedule. Additional details on the warrant package can be found in our prior Q2 10-Q and our upcoming October filing. I'll wrap up now with some commentary on our balance sheet. Our largest asset continues to be our investments alongside our clients in our customized separate accounts and specialized funds. Over the long term, we view these investments as an important component of our continued growth. We expect that we will continue to invest our balance sheet capital alongside our clients. With regard to our liabilities, we continue to be modestly levered and we'll continue to evaluate utilizing our strong balance sheet in support of continued growth for the firm. With that, we will now open up the call for questions. Thank you.
Operator: Ladies and gentlemen, we will now begin the question and answer session. Should you have a question, please press the star followed by the one on your touch-tone phone. You will hear a prompt that your hand has been raised. Should you wish to decline from the polling process, please press star followed by the two. If you are using a speakerphone, please lift the handset before pressing any keys. We ask that you please limit yourself to one question. If you have additional questions, you may press star one again. One moment, for your first question. Your first question comes from Ken Worthington with JPMorgan. Please go ahead.
Ken Worthington: Hi. Good morning, and thanks for taking the question. Erik, can you talk about the product roadmap for wealth in calendar 2026? You opened a handful plus of new wealth-focused specialized fund products in '25, including the registration of existing funds into different regions. How should we see 2025 for new product launches really geared to this wealth customer?
Erik Hirsch: Thanks, Ken. A couple of things. I think I had mentioned this on a prior call. I think the part that's been noteworthy for us is how these products are actually resonating with the institutional customer. So today, we're still seeing about 15 to 20% of our flows coming from the institutional. And I think we believe that as folks get more acclimated and more educated, that that number will continue to go up. So you mentioned that in calendar 2025, we launched a lot of products. I don't think 2026 will see nearly that volume coming from us. We've now built out strategies in a lot of our core areas. So while we will add some additional products, that won't be nearly at the rate as we saw a year prior, and our focus right now is really getting the products that we have in market to scale.
Operator: Great. Thank you. Your next question comes from Alex Blostein with Goldman Sachs. Please go ahead.
Anthony: Hey. Good morning. This is Anthony on for Alex. I wanted to ask about software exposure in the business, given recent events. You know, there's been a growing number of concerns around software exposure for a lot of your peers. So could you expand on what that looks like at Hamilton Lane and how you see those businesses performing given potential AI risk?
Erik Hirsch: Thank you. Sure. Anthony, it's Erik. I'll take that. So I think than a lot of the other large publicly traded managers, our portfolios are much more diversified because we're not taking ownership directly of single assets. So that co-investment secondary and fund model for us results in our customer exposure being very, very diversified across sector, geography, size, etcetera. So one, we don't have any kind of concentration across portfolios in software. And so that's not a topic for us that right now we're that we see as an at all of an issue for us nor for the customers.
Operator: Thank you. Your next question comes from Michael Cyprys with Morgan Stanley. Please go ahead, Michael.
Michael Cyprys: Oh, hey. Thanks for taking the question. Just wanted to ask about exit activity. Just curious how you're seeing exit pathways evolve across your platform and the broader industry. And what would you say is maybe the one or two gating items that you're watching could make distributions accelerate sharply across the industry?
Erik Hirsch: Sure, Michael. It's Erik. So we are seeing distribution activity pick up. I think this has been more of buyers and sellers reaching more of a kind of an equilibrium in how they're each viewing the market. The IPO market better, but as you know and as we've discussed in the past, that's not a huge exit activity for our business and not a what moves the needle more huge exit activity for our portfolios. So, generally, I think is simply having buyers and sellers agreeing where the markets aren't agreeing on price. So we see that happening. We see a rationalization occurring there. It's also driven by just the maturing of the assets and the fact that they're a lot of them are now reaching kind of their fourth or fifth or sixth year of ownership. The work has been done. The growth has been achieved, and now they're ready to go and harness the profit. So, I see 2026 as a stronger exit environment than we saw certainly in calendar 2025.
Michael Cyprys: Great. Thanks. And if I could ask a question on the Evergreen platform that's quickly becoming multi-asset, multi-strategy and with a number of scaled products over a billion in size. Just how are you thinking about opportunities that can open up now as a result of that evolution, whether it's model portfolios, maybe even obtaining placement within target date or other liquid fund strategies in partnership with others, Curious how you're thinking about that.
Erik Hirsch: Yeah. I think we're thinking about all of those pieces, Michael. I think what you're seeing is wave number one was sort of the introduction of these products to the market. Wave number two has really been focused on education around some of the benefits of these products. To both institutional and individual investors. And wave number three becomes more around kind of the structuring and partnership where you start using these products as tools in a variety of different ways, a number of which you mentioned. So we're kind of through wave one. We're getting towards wave, you know, finishing up wave two on the education piece, which still continues, and now we're heading into wave three. And so we're involved in dialogue across all of those aspects.
Michael Cyprys: Great. Thank you.
Operator: Your next question comes from Alex Bond with KBW. Please go ahead.
Alex Bond: Hey. Good morning, everyone. I actually have a follow-up on the Evergreen side and specifically the increasing institutional base there. So you've highlighted previously that one of the reasons these products are attractive for institutional is their more liquid nature relative to a traditional drawdown fund. But maybe it would be helpful if you can help us think about maybe what the dispersion has been in terms of redemption requests between institutional and retail clients within the Evergreen suite to date, and maybe to what extent institutional clients have taken advantage of this feature to date?
Erik Hirsch: Yeah. Alex, Erik. So I actually don't think the liquidity provision is one of the top two most attractive pieces to them. I think the top two most attractive pieces are much more around ease of use dealing with capital calls, distributions, and sort of severely lagging reporting schedules, not optimal. Benefit number two is the ability to actually tack manage your portfolio in a more thoughtful way. If you're a CIO today of an institution and you want to apply some sort of a credit overweight or an infrastructure overweight or a venture overweight, doing that through draw funds is really impractical. You have to go have us find the funds for you, subscribe to the funds, It takes years for those funds to get capital to put to work to see the net asset value grow. And so trying to do a tactical overweight using drawdown funds means that you need to sort of have a three to five plus year view outwards that that overweight is gonna sort of still be a good thing in that timetable. In Evergreen, they can simply put on an overweight instantaneously because the capital is obviously fully invested. So we're not seeing the institutional investor behave with a higher redemption rate or moving in and out. We're seeing them use this as a portfolio construction tool and ease of use. Third piece I'd mention is actually small institutional investors. Back in the day, they would be a fund to funds customer. And as you know, Hamilton Lane hasn't even offered a fund to funds product in years. That market segment altered that investor base, in some cases, left the class altogether. Or they got convinced that going into a secondaries or co fund was an okay solution. Today, that small institutional investor is much more embraced ever way reenter the private markets. So we see all those as thoughtful, good, and those are gonna be long-term sustaining trends.
Alex Bond: Got it. That's helpful. Thanks, Erik.
Operator: Your next question comes from Brennan Hawken with BMO. Please go ahead.
Brennan Hawken: Good morning. Thanks for taking my question. I was hoping you could speak a little bit to what you're seeing on the ground in the wealth channel. I hear about a little bit of a sitting on hands with the headlines around private credit that we saw in the year-end. So curious what you're seeing there. And when we also have heard that there's the potential for a greater shift or a greater preference for model portfolios, you know, sort of centralizing the allocations. Are you seeing any early signs of that? And what are your thoughts about how to deal with such a shift?
Erik Hirsch: Sure, it's Erik. I'll take those. So look, we kind of laid out our flows. We're not seeing the sitting on hands that you're sort of referencing. I think part of this is we're positioned as a differentiated product. That managed manager of managers is simply different than single manager strategy. And I think the market has obviously been very receptive to our positioning there. And our flows continue to be good. Model portfolio is certainly a topic of conversation. You're seeing early moves there. But to say today that you're seeing some massive sort of sea change, I would say just the data is not bearing that out. As I mentioned on the prior question, we're engaged in dialogue around that. We have some model portfolio exposure already. And I think this is gonna come down to investor preference. I don't see a world where all investors are gonna simply want the model portfolio. Investors generally, whether we're talking about buying private market assets, we're talking about buying food or clothing, investors want choice and they tend to want control. And so for some, that model portfolio will be ease of use, and that will be the most attractive aspect to it, and that will be sort of the guarding item. And for others, they're gonna want to make much more tailored individualized selection. So I think it's a world where you're gonna see both pieces exist. And we're all gonna have to make sure that our products and our lineup is meeting the customer where the customer is. Not trying to force the customer to kind of adhere to whatever game or structure that we want them to be playing.
Brennan Hawken: Right. Thanks for that color, and thanks for taking my question.
Operator: As a reminder, if you wish to ask a question, please press 1. The next question comes from Mike Brown with UBS. Please go ahead.
Mike Brown: Great. Thanks for taking my question. Wanted to ask on the secondary side. So it's clearly a hot asset class, maybe the hottest asset class in the space at the moment. And the industry saw record capital raising for the industry last year. One of the funds that closed was over $30 billion. Expecting a $30 billion fund for Hamilton Lane yet, but when you think about fund seven, we look at fund six. That closed at $5.6 billion. That was up over 40% versus the prior vintage. So when you're thinking about fund seven, and the tailwinds for the space, any view on relative size versus the prior vintage? And maybe just touch on how investor sentiment and interest is in secondaries currently?
Erik Hirsch: Sure. It's Erik. I'll take that. So as you noted, the space has grown. I frankly think if you step back and just look at that at a macro level, it's healthy. Liquidity investors is a good thing. It gives people more choices. And so invest more liquid options whether it's through traditional secondaries or whether it's through our recent partnership with Pluto. We think all that's good. Second point, it's still one of the most undercapitalized parts of our asset class. If you look at capital raised relative to the size of deals brought to market, huge capital mismatch. There's not nearly enough capital in the market to deal with sort of the demand and interest of transactions looking to get financed. So massively undercapitalized. The scale, third point, has also changed. So the industry is getting a lot bigger, funds are getting bigger as a result of that. And so what it means to be a big secondary player today is very different than what it meant to be that sort of big player ten years ago. I think for us, we've tended to be more of a mid-market oriented player. And so that has sort of caused us to still grow substantially, as you noted, from funds to fund to fund. Our goal is to continue to be one of those leading players, and so that means there's a whole lot of runway ahead of us. So as I said very clear on the call, we are not one of the top handful of largest players in the space. We have aspirations to continue to move up market we think we've got a lot of room to do that. And we are based on investor sentiment, management meetings, feedback, etcetera, all that feels encouraging.
Mike Brown: Great. Thanks. Thanks, Erik.
Operator: Thank you. And as one more reminder, if you wish to ask a question, please press star followed by the one. As there are no further questions oh, sorry. Mike Brown has one more question. Please go ahead, Mike.
Mike Brown: Great. Thank you for taking the follow-up here. Erik, I just wanted to follow-up on the software question earlier in the call. Just given your unique visibility into funds and the underlying portfolio companies, and I'm sure you're active dialogues with the managers, you just maybe expand on your view on how AI disruption could really kind of flow through this software landscape and how certain parts of the market could be more impacted than others in certain areas that perhaps have better insulation from these AI disruption-related risks.
Erik Hirsch: Sure. I think it's I think this is sort of the danger of painting with an overly broad brush. I think it's frankly not a lot different than what we're seeing in credit. You've got a handful of managers who have credit portfolio problems due to their own investment selection. And then we want to sort of turn that into kind of a broad industry issue. There's no question that there are some software businesses that were bought sort of pre-COVID. High prices were paid. AI was far away when those transactions were done. The impact was not sort of priced in. And there will be certainly some companies that are going to struggle and are gonna struggle to result in good performance or any performance for their investors. That said, the notion that every software business is going to suffer hugely negative consequences due to AI, I think is not true. And frankly, we're sort of seeing that we've got a number of companies in the software space that are continuing to grow, continuing to rack up customers. I think there's another way to look at this, which is in some cases, the AI solution is in need of the client and the traditional old-school software companies have the customer. I actually think you could see some mergers and acquisitions that are coming from kind of what we'll think of as new tech versus old tech and that that might be a completely fine outcome. So I think what we're saying to our clients today, whether it's around software, whether it's around credit, or whether it's around any sub-strategy, we need to have a much more granular conversation about companies, fund managers, individual funds rather than having big macro strategies, and that's one of the macro discussions, and that's one of the benefits of where we sit. We get to go in due diligence on every fund manager looking through every asset that they hold, and if we're looking at a secondary deal, we're getting to price through every company in that underlying portfolio. And so we're not making big investment decisions kind of thematically. We're making them kind of a bottoms-up asset by asset look through to figure out whether there's high-quality assets and making sure we're getting those at the right price with the right partner.
Mike Brown: Thank you.
Operator: And this concludes the question and answer session for today. I will now turn the call over to Erik Hirsch, Co-Chief Executive Officer, for closing remarks. Please continue.
Erik Hirsch: Just wanted to say proud of the quarter. Juan and I are very proud of the team for the hard work. This doesn't happen by accident. It takes real effort, particularly in this kind of market environment. We appreciate your time, support, and the questions. And for those of you on the East Coast, stay warm. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.